Operator: Ladies and gentlemen, thank you for standing by and welcome to the Meredith Corporation reports fiscal 2010 first quarter earnings. (Operator Instructions). I would now like to turn the conference over to your host Mike Lovell, please go ahead, sir.
Michael Lovell: Hi, thank you. Good morning everyone. Before Chief Executive Steve Lacy begins our discussion, I'll take care of a few housekeeping items. In our remarks today we will include statements that are considered forward-looking within the meaning of Federal Securities Laws. Forward-looking statements are based on management's current knowledge and expectations and are subject to certain risks and uncertainties that may cause actual results to differ materially from the forward-looking statements. A description of certain of those risks and uncertainties can be found in our earnings release issued today and in certain of our SEC filings. The company undertakes no obligation to update any forward-looking statement. We will refer to non-GAAP measures, which in combination with GAAP results provide additional analytic tools to understand our operations. Tables that reconcile non-GAAP measures to GAAP results are posted on Meredith's website as well. And with that, Steve will begin.
Stephen Lacy: Thank you Mike and good morning everyone. Today I'll start with some thoughts on the current business environment, describe how Meredith is responding and provide more detail on our operating performance. Joe Ceryanec, our Chief Financial Officer will go into greater depth on our financials and provide our outlook. Following our prepared comments we'll be happy to answer any questions that you might have. Joining us for the Q&A will be Jack Griffin, our National Media Group President and Paul Karpowicz, our local Media Group President. Let me start this morning with a brief financial overview. Fiscal 2010 first quarter earnings per share were $0.40, compared to $0.41 in the year-ago period. Revenues were $332 million, compared to $364 million in the prior-year period. Fiscal 2010 first quarter results included a benefit of $0.06 per share reflecting a favorable adjustment to deferred income tax liabilities as a result of new legislation enacted during the quarter. Excluding the tax benefit, first quarter earnings per share were $0.34, in line with our previously stated expectations. In the first quarter of fiscal 2010, we recorded $5 million less in net political advertising revenues when compared to the prior-year period. Looking broadly across our businesses, the performance improvement plan we put in place a little more than a year ago is clearly helping us navigate the recession. To refresh everyone, the four key elements of that plan include gaining market share, increasing our consumer connection, growing new revenues and prudently managing expenses and reducing debt. Let met touch briefly on each. We posted sequential quarterly improvement in advertising performance in both our national and our local media groups. Our total advertising revenues were $192 million in the first quarter of fiscal 2010 off 9% from the prior year period. However, this performance shows continued improvement when compared to a 15% decline in our fourth quarter fiscal ’09 and then 18% decline in our third quarter of fiscal ’09. Our performance was better than the industry as a whole. Of particular note our two largest circulation magazines Better Homes and Gardens and Family Circle grew advertising revenues 3% and 13% respectively, during the first quarter of fiscal 2010 compared to the prior-year period. This helped us gain market share. On the magazine side, we grew share in the quarter to 12.2% of overall industry advertising revenues from 8.7% in the prior year period, according to the most recently available data from Publishers Information Bureau. For calendar 2009 to-date, our market share of advertising revenues stands at 12.4%, up from 9.5% during calendar ’08. Obviously, we are pleased with these meaningful share gains and our advertising pricing which was within our expectations. Jack Griffin will share his thoughts regarding the magazine advertising environment during the Q&A. Our television stations also outperformed the industry as a whole by approximately 7% points during the quarter, according to the most recently available data form the Television Bureau of Advertiser. You will hear from Paul Karpowicz regarding the television advertising environment on the Q&A as well. Our connection to the American consumer continues to be strong and growing. Magazine subscription response rates are strong and we grew profits across our circulation activities during the quarter. Additionally, we drove improvement in news ratings at our local television stations and traffic across our 60 plus websites grew strongly. We also continue to develop businesses that are not based on traditional advertising including Meredith Integrated Marketing, brand licensing and our video production operations. I will go into more details on those activities in a few moments. Finally, we cut total operating expenses 8% and reduced our debt by $20 million during the first quarter of fiscal 2010. We continue to be well positioned to make further investments in our business as strategic opportunities arrive. To summarize, our performance improvement plan is working we continue to view it as a blueprint for our ongoing success. We are confident that Meredith will emerge from the current recession faster than many of our peers and in a stronger competitive position. Now, let’s take a closer look at our two major business operations starting with our National Media Group. We continue to see stabilization and improvement in magazine advertising revenues which were off 5% for the first quarter of fiscal 2010. This represented our third sequential quarter of improved advertising performance. We also reduced National Media Group operating expenses 10% resulting in a 14% increase in the Group’s operating profit compared to the prior year. 11 of our 14 measured titles gained advertising market share as measured by PIV. These market share gains were driven by several factors. First, our branded editorial content focuses on the subjects that matter most to women. This emphasis is more important now than ever before. Second, our advertisers are seeking the most value for their advertising dollars. The reach and efficiency of our magazine portfolio continues to work in our favor. And finally, we built a culture at Meredith that facilitates and encourages sales collaboration. Our advertisers are increasingly asking for multi platform campaign to help strengthen their own connection to the individual consumer and sell more products at retail. We built a sales organization that can deliver on these requests and these programs now represent approximately 15% to 20% of our advertising revenues. As an example during the quarter we sold multimillion dollar programs with two major prescription pharmaceutical brands. The programs included custom content development as well as the creation of a multi page booklist with relevant editorial that was delivered to consumers using our database targeting capability. Our performance continues to attract industry recognition. Earlier this month Meredith was named Publishing Company of the Year by Advertising Age Magazine, marking the third time in the last seven years we received this honor. Additionally, two of our titles were named to Ad Age’s A-List. Better Homes and Gardens was number two on the list while Family Circle was number three. In addition to citing our better than industry ad performance, Ad Age singled out Meredith’s diversified initiative including digital enhancements, brand licensing agreements and our marketing services expansion. Turning to circulation, total revenues declined 2% as a result of fewer special interest media titles published and soft retail sales. But circulation profit and related margin increased during the quarter compared to the prior year period. Our performance was assisted by efficiencies in both our subscription and our new stand operations. Of particular note, our direct mail response rates were quite strong during the period. Our growing consumer connection was also reflected in our online metrics during the fiscal first quarter. Average monthly unique visitors to Meredith nationally branded website increased more than 30% to $17 million and page views per month averaged nearly $190 million. We experienced mixed results in the other revenue category in the first quarter of fiscal 2010 as lower revenues at Meredith’s Book and Meredith’s Integrated Marketing were partially offset by higher revenues in brand licensing. Revenues at Meredith Books declined, but operating profit increased as planned due to the implementation of the previously announced licensing agreement with John Wiley & Sons. At Meredith Integrated Marketing revenues and operating profit declined due to cut backs in certain existing programs particularly among clients in the automotive and retail sectors. There were also fewer new programs launched during the quarter. Integrated marketing continues to be an important long-term growth engine and hedge against the month-to-month volatility of traditional advertising revenues. We are well positioned for future growth in this area, thanks to the additional capabilities we've added in the recent past. A good example is the CRM Loyalty Program that our specialist healthcare firm, Big Communication leads for our major pharmaceutical company that also involves the capabilities of three of our other marketing services firm. Demand is definitely growing for integrated marketing programs that include digital and data analytics capabilities. We are currently responding to more than a dozen request for proposals that involves more than one of our service delivery capability. And during the quarter, we further enhanced these services with the investment in hyper factory, one of the industry's leading mobile marketing specialist. Brand licensing revenues grew nearly 20% in the first quarter of fiscal 2010 primarily as a result of our growing relationship with Wal-Mart. The Better Homes and Gardens line a branded product at Wal-Mart continues to receive favorable consumer feedback. The number of Better Homes and Gardens branded SKUs at Wal-Mart tripled to approximately 1500 when compared to the prior year. In addition, a new collection of interior paint colors selected by the editors of Better Homes and Gardens and co-marketed with the Dutch Boy is now available in 1700 Wal-Mart stores. Also the Better Homes and Gardens licensing program debuted in Canada this month and further expansion is planned in the spring of 2010. To summarize the National Media Group discussion while we advertising environment remains challenging we are encouraged by the market share gain and improving quarter-over-quarter revenue trends we’re delivering. Our consumer connection is stronger than ever, we continue to develop businesses that are not dependent on traditional advertising and we are prudently managing our expenses. Now, turning to our local media group; fiscal 2010 first quarter non-political revenues were down 7% with automotive advertising accounting for more than half of the decline, we recorded $5 million less in net political revenue advertising in the first quarter of fiscal 2010 compared to the prior year. Similar to the strategy we’re pursuing in our national media business, we’re focused on increasing our market share of local advertisers and viewers alike, strengthening our connection to the consumer, growing new revenue streams and prudently managing our costs. These are all tenants of our ongoing performance improvement plan. Many of our television stations posted stronger ratings during the recently completed July suite. Our stations in Portland, Hartford and Las Vegas captured a larger share of morning news viewers and maintained their number one position. Additionally, our CBS affiliate in Atlanta doubled its morning news viewer ship. In late news where ad rates are the highest, Hartford’s viewer ship rose 25%, Atlanta rose 22%, and Phoenix increased 14% as well. Looking at new revenue streams, Meredith Video Solutions posted strong revenue growth in the first quarter of fiscal 2010. The gains were primarily driven by growth in custom video projects for corporate clients as well as continued expansion of the daily better television show. The show it represents another example of our strong connection to the individual consumer, now reaches more than 40% of US household including half of those located within the nation’s top ten markets. Retransmission fees, another example of our new revenue stream development, nearly doubled in the first quarter of fiscal 2010. We expect retransmission fees will be more than $20 million for the full fiscal 2010. To summarize our local media group discussions, the television industry continues to experience one of the most difficult advertising environments in its history. But we are seeing some traction in quarter-over-quarter improvement in advertising performance. We are encouraged by the rating gains at our stations and our ability to grow new revenue streams from video content creation and retransmission fees. We continue to believe that television remains the most powerful and efficient way for advertisers to reach the American consumer. Now I’ll turn the discussion to Chief Financial Officer Joe Ceryanec.
Joseph Ceryanec: Thanks Steve, and good morning. As Steve noted key elements of our performance improvement plan focused on reducing cost, managing our cash and aggressively reducing our debt. Companywide operating expenses declined 8% in the first quarter of fiscal 2010; they were down 10% in the National Media Group and 2% in the Local Media Group. And while we have made significant progress in reducing costs we continue to aggressively look for ways to run our business more efficiently. This includes looking at the ways we want to create and distribute our branded content to source the materials we purchase, provide support functions across the organization, particularly in the IT area, and manage our employee benefits. And during the first quarter of fiscal ’10 we've engaged third-party consultants to help us further these efforts. During the quarter we generated nearly $30 million in cash flow from operations and reduced debt by $20 million from the prior fiscal year end. Total debt was $360 million at the end of the quarter, debt to EBITDA ratio was 1.7 to 1 which continues to be well within other debt covenants. So, even in these difficult times we continue to strengthen our balance sheet and during the upcoming year we will continue to exercise aggressive cash and expense management across the company. We continued to be well position to weather the current softness in advertising and the general market and well positioned to capitalize on opportunities as they arrive. Now, looking at our outlook; looking into the second quarter of fiscal 2010 with two of the three magazine issues closed in the National Media Group advertising revenues are currently down in the mid single-digit range. Local Media Group nonpolitical advertising pacing are currently down 8%. The Local Media Group will be cycling against $17 million and net political advertising revenues that were reported in the second quarter of fiscal 2009. We currently expect fiscal 2010 second quarter earnings to range from $0.33 to $0.38 per share. Looking at the reminder of fiscal 2010, we continue to operate in an increasingly competitive environment in terms of advertising volume and rates. Additionally, we have limited visibility into our customer’s ad budgets which will reset on January 2010. We continue to expect fiscal 2010 earnings per share to range from $1.60 to $2 excluding the impact of the previously mentioned deferred tax income and liability adjustment. We expect our effective tax rate to be approximately 40% in both the second quarter and full year, again, excluding the impact of the tax adjustment. A number of uncertainties remain that may affect our outlook in the second quarter and full year of 2010, is referenced in the Safe Harbor statement in today’s press release and in our SEC filings. And with that I will turn it back to Steve for closing comments.
Stephen Lacy: Thank you very much Joe. To wrap up quickly before the Q&A, we believe Meredith possesses a very solid foundation and that we’re well positioned to build shareholder value over time. We’re confident that we’ll mange through this difficult economic period and emerge in even a stronger competitive position. Now, we’ll happy to answer any questions that you might have.
Operator: (Operator Instructions) Your first question comes from Jared Schramm - Roth Capital Partners.
Jared Schramm: Can you discern any positive impact from an ad sales perspective from the recent closure of several Conde Nast publications?
Stephen Lacy: I will ask Jack to add to my thought, but there maybe some modest impact for us, Jared, in food category, but as we have experience these sort of circumstances before I don’t think there’s a direct correlation where those ad pages automatically move to a competitive publication and that’s what our about history would say. Jack, do you want to add anything to that.
Jack Griffin: I think that’s particularly the case with respect to Conde Nast magazines, which as you know operate primarily in the luxury categories and we compete actually very little directly with Conde Nast, we’re in pretty different segments of the market. So the answer is, if there’s an effect of it’s not material.
Jared Schramm: Any color on the auto ad spending landscape going forward as it applies to publication and broadcasting?
Stephen Lacy: Jack, why don’t you start since you’re already commenting about what you’re seeing near term in automotive and then we’ll comeback to the broadcast side, okay.
Jack Griffin: In the national media business automotive has historically been a very small category for Meredith, which has obviously served us well in the downturn in the industry. As of late, we are seeing in the fourth quarter some encouraging activity in terms of national display advertising from certainly one of the big three. I’m not at liberty to say which one, but when our magazines come out you’ll see it a very aggressive national marketing campaign using many of our magazines, and we’re seeing some encouraging activity in the import segment of the business as well late in calendar 2009. So certainly versus a few months ago it looks stronger and it’s encouraging.
Stephen Lacy: Statistically or factually, the decline in automotive still accounted for half of the downturn that we experienced in nonpolitical advertising on the broadcast side, but Paul, you might give a little color about, what you are hearing in the marketplace from the sellers and general managers in the individual market.
Paul Karpowicz: Really just the opposite in the local marketplace, automotive advertising is our number one category and has been our biggest category forever. What we’re seeing from quarter-to-quarter is increased improvement and we’re cautiously optimistic that even the domestic brands are coming back a little bit stronger than we would have anticipated. So we’re seeing both a combination of the domestic brands being active in addition to the imports, which have hung in better than we would have hoped.
Operator: Your next question comes from Michael Meltz - JP Morgan.
Michael Meltz: Three questions for you. Just the language around auto is a little convoluted. If I back into the number in the quarter, was auto down 15% to 20% year-over-year?
Joseph Ceryanec: Michael, for the first quarter, auto actually was down 39%.
Michael Meltz: I got to check the batteries on my calculator; in the September quarter, Joe?
Joseph Ceryanec: Yes. In the September quarter versus September quarter a year ago auto was down 39%.
Stephen Lacy: I think you might recall, Michael that on the last couple of calls, we’ve been talking about 55%, 57% down like a couple of quarters.
Michael Meltz: In terms of publishing the other revenues, that was much far below where I had expected and might have just been an error on my part, but what’s going on there and what is the expectations for the full year out of that segment, is this the Chrysler publication or what other factors are in there?
Stephen Lacy: I’ll have Joe, to give you some facts on the numbers and then ask Jack maybe to add a little color around integrated marketing. So Joe, why don’t you provide the numbers?
Joseph Ceryanec: Like when you look at publishing other, which you can get to out of the financial, publishing other was $64 million and that was down from $78 million a year ago. The two big drivers of that, as we said in the release were integrated marketing was down about $8.5 million and book was down almost six. Now, as Steve mentioned, book now with licensing or with widely on the licensing model, so book operating profit actually was positive from a year ago, but you’re just not seeing the gross up on the revenue and expense side and then that was offset somewhat by licensing, which was up a little over a million dollars from a year ago.
Michael Meltz: For the full year, is this $65 million, is that a run rate here or is there much seasonal, I assume Wal-Mart will ramp, but is there other seasonal factors?
Joseph Ceryanec: I think our expectations are that integrated marketing, we’ve seen drag in the downturn, as these programs held up better than magazine advertising early, but we’re starting to see that decline, it was down integrated marketing was down about 19% and our expectations are that we will see that for a couple of quarters. So we do expect to beat down a little bit next quarter from where we’re at this quarter.
Michael Meltz: Then last question from me. On the expense side, the 10% decline of publishing was pretty damn strong. Steve, where are our paper prices trending and what is the full year expectation on kind of cash expense decline? I think previously you have been pointing to like 3% to 5% is that ticked up?
Stephen Lacy: On the paper side, I think you recall that a year ago at this time we were up almost 20%. I think it was about 18%. We recouped about half of that. So basically prices in this quarter were down about 10% compared to the prior year and that’s probably about where they will be next quarter as well and then I’ll ask Joe to give you some thoughts on overall expenses, because when we move into calendar 10, you might recall we did a headcount reduction right about the first of January. So we’re going to start to cycle against some already quite a bit lower expense amounts in the back half of our fiscal.
Joseph Ceryanec: Just looking at the second quarter Michael, I think on the publishing side, we were down 10% that will probably temper a little bit. Our expectations are about 6% to 8% in the second quarter. I think broadcast will see similar to where we were this quarter, call it 2% to 3%, but then as Steve mentioned in the second half of the year, those concerting get tougher because last year we started seeing significant decreases as we moved into calendar ‘09.
Operator: Your next question comes from Jason Bazinet - Citi.
Jason Bazinet: There have been some rumblings I guess in the press, maybe that’s in public appearances from some of the network owners about trying to recapture some of their retrans fees that are accruing to the non-O&O stations, since we’re flowing back to the networks. In that context, how do you think we should think about the retrans numbers several years out? Do you think it’s sort of durable growth rate and durable revenues or do you think ultimately some of those revenues flow back to the network level?
Stephen Lacy: In my belief that later into 11, 12 and 13 when some of our agreements begin to come up for renewal, we’ll have a much better sense of the success of the networks in terms of latching onto some portion of those dollar amounts and I’m glad that we got a period of time before those discussions really will ensue for Meredith. Paul, you might share some of your thoughts that maybe kind of at the industry level about how we might as an industry, if we can find a way to work together really benefit ourselves in the area of retrans. You might help, Jason, understand a little bit what the networks might be receiving versus kind of the average affiliate, if you will.
Paul Karpowicz: I think the way we have to look at this is that currently where the affiliates are relative to our retransmission fees. We’re still well below the average of an ESPN or many of the other cable channels. So from my perspective, we’ve got a lot of headroom in terms of being able to grow per subscriber rate. I think what’s important is that we work together with the networks to try and figure out a way that we can maximize our retransmission opportunity. The networks perspective is simply that they provide high profile sports, they provide high profile programming and they should have some compensation for that. While we don’t necessarily disagree, we think that the way to accomplish that is to work together and to maximize that per subscriber fee. So that both the network can get a piece of that and we actually continue to grow the local stations piece of that retransmission money.
Stephen Lacy: Just as a reminder Jason, our CBS affiliation agreement runs through 12/31 of ‘11, FOX is through 6/30 of ‘12 and NBC is through 12/31 of ‘13. So it’s a bit downstream for us.
Operator: Your next question comes from Chris Walling - Sidoti.
Chris Walling: Just a quick question here, you guys are saying that unique visitors are up 30% across your websites. I mean is that translating into additional online revenue?
Stephen Lacy: Jack, do you want to speak to the online revenue and kind of how you see that business playing out at this point in time. There’s not, Chris, a direct correlation between growth and traffic, and growth and revenue.
Jack Griffin: We are seeing in our nationally branded interactive business and up tick in display advertising as we cycle through this year from the prior year, but it’s in the mid to high single digits range, it’s not in the double digit range that correlates with the 30% and there’s a lot of reasons for that. A lot of the traffic isn’t yet monetized and you all read about the difficult conditions in the display advertising market particularly as a function of the ad networks, but we’re pleased to have our revenue up, because when you see the releases of many of the heavily internet focused companies in display that’s not the case.
Chris Walling: I might have missed it, but did you guys say what total online revenue was across the company or…?
Stephen Lacy: We didn’t, but we have that. Total online revenue is a little over 6% of total company revenue in the current period and we aggregate that across the organization including what goes on inside of integrated marketing in both our national and our local websites that aggregate to about 60 in total.
Chris Walling: How does that compared to the prior quarter?
Stephen Lacy: Very similar and it’s been balancing between 6% and 7% for a period of time, now probably three quarters or so.
Chris Walling: Then just one last question real quick, circulation was down about 2% this quarter. If you could just kind of provide a little bit more color on the difference between the newsstand sales versus core circulation?
Stephen Lacy: The biggest change there is on the newsstand side. Subscriptions were really almost flat, down about 1%, newsstand was down about 5% and the lion’s share that had to do with the fact that, because of the current environment we produced quite a bit fewer of the special interest publications that are basically newsstand one shot sold as low as at Home Depot and the like. So it was more on the newsstand side and more on the special interest publications than on subscriptions or rate based titles.
Operator: Your next question comes from Barry Lucas - Gabelli & Co.
Barry Lucas: I have several. So I’ll take them one at a time if you don’t mind. Steve, on the print side, if you weren’t taking the share or taking share from Conde Nast, which certainty makes sense since you’re not really in the luxury goods categories. Where did the share gains come from?
Stephen Lacy: Do you want to speak to that Jack, kind of where do you think how the shift is playing out?
Jack Griffin: I must say that I’m reticent in an environment like this to talk publicly about our competitors, but the numbers are very available in the marketplace. You can see what’s going on with the major players in the industry, when the PIB numbers come out each month, and I think the year has fully reported through November. So there are a couple of other big companies that we compete much more directly with, that are down in the 20% range year-to-year. So I think you could infer that a lot of the share is coming from that direction. I think the other thing that’s happening is that we are generating more and more of our advertising activity from programs that have additional components beyond display advertising, but bring new marketing dollars into our company and so there’s new business that’s coming to Meredith that wouldn’t otherwise as a function of these big integrated programs and I think that’s a major function of our success, but not to be repetitive, but the numbers of public out there and our of performance relative to the overall category is very strong.
Barry Lucas: On the television side just two quick ones. Your cutting cost there Paul, what are the opportunities on the syndicated programming side, I know you were placing some program with in house produce product like Better.tv and what have you, but major syndicated programming that comes up for renewal that’s likely to be lower prices down the road, what would be your expectations?
Paul Karpowicz: As you look at our program schedules, probably the most high profile, most expensive programming that we carry is the Oprah show and that is still a discussion that we’re going to have to have with CBS Paramount about, where we go with that. That is clearly the highest price program that we have on the air. There are some syndicated programming that’s been on for quite a while, King of the Hill, and programming like that, but it’s on some of our flock stations that we’re going to have to take a very hard look at, as that programming expires and we have an option to get out of it, there’s a very real possibility we will. What you are seeing in many of our stations is as the programming cycle is out, as some of that syndication cycle is out we are replacing that with local newscast and in Greenville and Portland, and in many of our Fox markets we’re putting in local newscast into what had traditionally been syndicated programming time periods. So we’re finding that, that’s actually a great way to go and increasing our news presence and it’s a more profitable way to program the time period.
Barry Lucas: Last question on, I apologize to others who are on the call who may have heard this postal Lynn. Blair Laven has been running around talking about spectrum availability or lack thereof, success of the iPhone showing up an awful lot of spectrum and causing problems. So how do you see a spectrum call back potentially playing out if at all and how we do regard that issue?
Paul Karpowicz: I happened to be at the MSTV meeting where Blair then spoke to the group. I think it’s too early to throw up warning flags, however, I think we’re all very concerned anytime there are some discussion about changing the spectrum allocation tables and somehow repacking the spectrum and so forth. I think what needs to happen right now, is a lot of communication between broadcasters in the SEC, I know the NAB is going to be deeply involved in those discussions. Obviously, when you get to a point where we just went through the digital conversion in July in less than six months later, we’re taking about changing the whole system, its cause for concern. So, I think there’s still a lot of discussion that has to take place, clearly broadcasters rule in the Fabric of America as it relates to local news, local programming, emergency warnings, high definition TV, over the air programming, digital channels, these are all very, very important things. So, we just have to make our case before the SEC and make sure that we work with the SEC to help them with their issue which is to create more spectrum for wireless broadband, but we think there are a lot of other places they can look other than the broadcast spectrum.
Operator: (Operator instructions) Your final question comes from [Sasha Bernia - Riptide Capital].
Sasha Bernia: My questions were generally answered, but I just thought just ask in. On a going forward basis, do you see a circulation as stabilizing and how about pricing in terms of your magazines and TV sector going forward?
Stephen Lacy: Joe will speak to kind of the numbers and then we really have a very, very strong consumer story and interestingly enough Jack and I were just in a meeting this week going through all that. So I’ll ask Jack to give a little color. On an overall basis, I think the newsstand will continue to be very, very difficult. I think the consumer is paying up for our product very well and we’ll see that part of the revenue stream stabilize and even possibly increase overtime, but I think we’re going to continue to experience some pressure on the newsstand. Jack, do you want to just give a little bit color around the sort of discussion that we had earlier this week.
Jack Griffin: I guess, what’s worth adding to what Steve has said and what’s in the release as we focused intensively on our connection to the consumer, and I think it’s fair to say that in our national branded business, that’s never been stronger. Makes a lot of sense when you think about what’s going on in the country and what people are focused on and mood of the country. Our magazines are pretty spot on with that, but at the same time we’ve been implementing many new circulation, acquisition, renewal and retention programs over the past couple of years as we anticipated lots of headwinds like we’re experiencing. So, the direct mail results are strong pretty much across the board. Renewals and retentions are strong and we are having pretty good success for the first time in a while in heading the consumer to pay more. So we were very encouraged about that.
Operator: There are no further questions in queue please continue.
Stephen Lacy: Well, thank you very much for participating today. We appreciate your interest and your ongoing support, and as always, Joe and I are available for follow-on calls and questions, should anybody need any further help. Thank you very much and have a good day.
Operator: Ladies and gentlemen, this conference will be available for replay of the 1:00 p.m. today through Wednesday, November 4, at midnight. You may access the AT&T teleconference replay system at any time by dialing 1800-475-6701 and entering the access code 117970. International participants may dial area code 320-365-3844. Those numbers again are 1800-475-6701 and area code 320-365-3844, the access code being 117970. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.